Operator: Hello, and welcome to the DoorDash Q1 2025 Earnings Conference Call. I would now like to turn the call over to Wes Twigg, Investor Relations. Mr. Twigg, the floor is now yours.
Wes Twigg: All right. Thanks, Dustin. Good afternoon, everyone, and thanks for joining us for our Q1 2025 earnings call. I’m very pleased to be joined today by Co-Founder, Chair and CEO, Tony Xu; and CFO, Ravi Inukonda. We’ll be making forward-looking statements on today’s call, including without limitation, our expectations for our business, financial position, operating performance, profitability, our guidance, strategies, capital allocation approach, and the broader economic environment. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Many of these uncertainties are described in our SEC filings, including our most recent Form 10-Ks and 10-Qs. You should not rely on our forward-looking statements as predictions of future events or performance. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures, including a reconciliation of such non-GAAP measures to the most directly comparable GAAP financial measures may be found in our earnings release, which is available on our Investor Relations website at ir.doordash.com. These non-GAAP measures should be considered in addition to our GAAP results, and are not intended to be a substitute for our GAAP results. As a special note by now, you should have seen our formal offer to purchase delivery at 180 pence per share. Our rationale for the offer, intentions and other offer-related details are available [indiscernible] Rule 2.7 announcement. We understand there will be additional questions for now we are unable to provide details beyond what is available in that document. We may also make forward-looking statements regarding both Deliveroo and SevenRooms during today's call. These statements are also subject to the risks and uncertainties that I mentioned earlier and are described in our SEC filings. Finally, this call is being audio webcasted on our Investor Relations website. An audio replay of the call will be available on our website shortly after the call ends. Operator, I'll pass it back to you, and we can take our first question.
Operator: Our first question, this comes from the line of Shweta Khajuria from Wolfe Research. Your line is open.
Shweta Khajuria: Thank you for taking my question. Let me try two, please. On just international competitive landscape, could you please talk about now with DoorDash Wolt and Deliveroo what the combined share is as it stands in your 40 markets? And then how fast is the European market growing from your vantage point? And is it fair to assume Deliveroos unit economics and retention rates are as attractive? I remember when you acquired Wolt, one of the reasons was the unit economics and retention rate as you saw them. So could you please comment for Deliveroo as well? And then my second question is on the tariff impact, if prices were to increase through the year, you kind of touched on it in your release. How are you positioning yourself for the rest of the year in terms of what you could do as it relates to pricing, whether it's price parity, loyalty integration discounts, anything that you can talk about, that would be great. Thanks a lot.
Tony Xu: Hi, Shweta. It's Tony. I'll take both. On the first question, we are excited. I think in many ways, this is business as usual for us, where we're adding and investing behind success in each one of our five business lines. But specifically with respect to Deliveroo, that really is adding obviously to our international business. We've had a strong track record now in teaming up with Wolt for over three years, where we're leading in a majority of our markets with a playbook that we believe in. And when I think about the possible combination, should the deal close, what I really see is adding more scale to the same continent in this case, Europe and being able to lay the foundation for introducing all of the local commerce products that we are building. I can't get into all of the details, obviously, beyond that, but hopefully, that gives you a high-level view of what we believe the investment opportunity is. And I think that if we do a great job in terms of investing wisely into the partnership as well as what the scale economies can produce, I believe that that will even unlock even greater profit pools for us, especially given in some of the markets that Deliveroo plays in to allow us to invest even further in the future. With respect to the second question, which I believe is on tariffs. Right now, we're not seeing any effects. Obviously, as you know, a lot of the tariffs have been paused and we haven't seen any changes in consumer behavior even if there are changes in consumer sentiment. I've always believed, and I think we saw this even as far -- whether it was during things returning back to normal after COVID-19 or peak inflation in '21 and '22. I think what you really saw was that food or getting convenience delivered really is the most frequent form of spend and consumption, and food really is the most resilient category. We continue to believe that. We continue to see signs of that. Obviously, we're going to focus on what we can control. Most of what that means is we've always been trying to increase the selection that we offer, both of merchants as well as items. We are continuing to invest behind our affordability initiatives as well as our quality and service initiatives.
Shweta Khajuria: Thanks, Tony.
Operator: Thank you. Our next question comes from the line of Deepak Mathivanan from Cantor Fitzgerald. Your line is open.
Deepak Mathivanan: Great. Thanks for taking the questions. One for Tony and one for Ravi. Tony, historically, you've been somewhat hesitant to make big acquisitions you've done to this quarter. Has the philosophy on how you generally think about M&A has now changed at all? What are maybe some of the other areas you think M&A could help improve DoorDash? And then one for Ravi. On grocery specifically, can you discuss on the factors that's accelerating the spend per customer? Are you seeing kind of the use case broaden out into larger baskets, maybe from weekly runs or monthly refills, anything you're specifically doing to drive this behavior? Thank you so much.
Tony Xu: Hi, Deepak. Yes, on the first question, the short answer is no. The bar continues to remain high for M&A. Sometimes, obviously, the timing of some of these announcements aren't or can't be perfectly forecasted. But what I would say is it really is business as usual. I mean -- and again, I guess just as a refresher, for us, when we look at something like M&A, the first thing, obviously, we consider is whether or not this increases, the available market or the addressable market in front of us or whether or not it adds to our portfolio. And second, whether or not we have a proven track record in operating in that particular area, which includes both the management bandwidth, but also the question around whether or not we believe that we know how to execute in that area. So if I take that one by one, in the case of Deliveroo, as mentioned that in that last question it really is about continuing our expansion across Europe. If this deal were to close, we would operate in about 30 countries in Europe, 45 globally, 30 in Europe. And I think it's adding scale to the same place and also giving us a foothold in strong profit pool markets that will allow us to continue to introduce more and more products and hopefully have the biggest positive impact to the entire European local economy. In the case of SevenRooms, it's really about adding to our platform business. So our commerce platform started in 2016 when we introduced DoorDash Drive. Later on, we introduced DoorDash Storefront. So we went from logistics as a service to online ordering as a service. And with something like SevenRooms and especially what we hear all the time from merchants, is this desire to understand everything that's actually happening about their guests and inside their dining rooms as well as their other channels. And so really, you can almost view this as marketing as a service and adding more intelligence into what the restaurant owners can do in order to build their strong direct relationships with guests.
Ravi Inukonda: Hi, Deepak. On the second one, let me broaden it out and talk about the performance of the overall new verticals business, right? When I look at the performance of new verticals in Q1, I mean it was very strong, continues to grow. We increased the number of MAUs. Q4, we talked about the fact that about one-fourth of our MAUs are ordering grocery as well as restaurants that number continues to increase. What you're seeing on the platform is as the cohorts continue to habituate they're ordering more with us. They're using us for more use cases. And truly, the key differentiator is we've added more selection. Today, when I look at the top 20 grocers, we have a majority of them on the platform. We've extended that. We'll continue to add more grocers even in the regional markets. Through the quality of the product, continues to get better. I mean we have the product today versus about a year ago, the quality of the product and what we hear from customers and consumers continues to be good. That's obviously driving order volume share, when I look at the share gain year-over-year, that's been meaningful. Like we wrote in the letter last quarter, right? Like we expect to be volume share leaders in the course of the next year. And even when I look at the overall margin performance of the business, I mean, it's pretty promising. I mean, margins have continued to improve. Net-net, the key thing for us is what we're seeing is we're focused on scale. And as we are continuing to drive improvements in the product, that's driving improvement in retention order frequency, which is increasing the scale of that business.
Deepak Mathivanan: Great. Thanks, Tony. Thanks, Ravi.
Operator: Thank you. Our next question comes from the line of Nikhil Devnani from Bernstein. Your line is open.
Nikhil Devnani: Hi. Thank you so much for taking the question. I wanted to ask on EBITDA in light of the M&A announcements. I know it's quite early to be talking about 2026. But I guess in recent quarters, they have been pretty consistent GOV growth, pretty consistent EBITDA improvement. In your mind when you think about the acquisitions of Deliveroo and SevenRooms, does this change any of that in terms of the earnings algorithm? I think they could open the door to further investment in new markets or new products, which is a good thing long-term. But when you think about the quantum of investment required and you anticipate spending to accelerate these businesses, I mean, does it materially change your perspective on how earnings -- the earnings power for DoorDash in 2025 and 2026? Thank you.
Ravi Inukonda: Hey, Nikhil, it's Ravi. I mean I'll take that, right? I mean let me broaden out that question, right, Nikhil. I mean, talking about the performance of the business. Look, when you look at the performance of the business, the business is doing really well. We're extremely pleased with the performance of the business, not just in Q1, but over the course of the last several quarters, right? The formula for us has always been grow the business while continuing to increase overall profit dollars. If you look at the EBITDA profit dollar growth in Q1 as well as the Q2 guide that we've given, we're very pleased with the year-over-year growth. For us, the philosophy has always been investing behind strength. You've heard us say this before, right? Our goal is to improve unit economics, take that and continue to drive improvements in retention and order frequency, which ultimately drives scale and that scale drives profitability in the business. That is not going to change, right? Nothing about how we operate the business is going to change. And in terms of how we operate together with Deliveroo, that formula will continue to be the case. We're trying to drive duration of profit dollar growth over a long period of time. And when we think about investment, the key formula we think about is, is it going to generate a healthy amount of IRR, a strong return. And as long as we feel comfortable with that, our goal is to continue invest to drive scale.
Nikhil Devnani: Thanks, Ravi.
Operator: Thank you. Our next question comes from the line of Youssef Squali from Truist Securities. Your line is open.
Youssef Squali: Good morning. Thank you for taking my question. So, can you expand a little bit more on the affordability initiative and mix shift that caused net revenue margins to be down quarter-on-quarter? And what will drive it back higher? I think in the release, you talked about the guidance for Q2, for it to flip back higher year-on-year quarter-on-quarter. And then maybe, Tony, again, on Deliveroo. Deliveroo's growth and margins have been much lower than DoorDash's. Are there any structural issues in Europe, maybe Deliveroo's competitive positioning, et cetera, that makes these margins structurally lower? And is there a chance for you guys -- I know it's early, but is there a chance you guys to kind of get those margins more in line with yours over time? Thanks a lot.
Ravi Inukonda: Hi, Youssef, so let me take the first one, right, on net revenue margin take credits off. I mean just a broader point, Youssef, I mean just to clarify, our goal has not been to optimize margin percentage. We're trying to grow profit dollars. We've always been focused on driving overall EBITDA profit dollars up and you're seeing that in the business, right? Whether you look at Q1, whether you look at the last few quarters. I mean, that's what's visible in the business. That said, when I look at the take rate, there's a few factors. I mean there's some natural seasonality in the business. You've seen that in Q1 of last year as well. The second point I would make is, look, I mean, our goal is to improve unit economics and invest that back in the business. We found some specific initiatives both around affordability as well as selection that we invested back in Q1 that drove not just the GOV growth, but the order growth, which we feel very good about. So look, I mean the business is scaled. Now you're at the point where you're starting to see all of our categories grow. So the impact of mix shift is visible from a take rate perspective, when you look at the overall business. But you put all that together, right, that's what impacted the take rate in Q1. But if you're thinking about it, Youssef from a modeling perspective, I would expect Q2 take rate to be higher than Q1 and the second half take rate to be higher than the first half. And to your question around what are the key factors that are driving, right? One is we talked about seasonality. Q1, we lean into Dasher supply that gets better as we go through the rest of the year, primarily because Q1 is a strong growth quarter for us. Two, unit economics will continue to improve as we go through the rest of the year, and that will continue to be a tailwind from a take rate perspective. As business continues to grow, that will also be a tailwind. Net-net, I mean, we feel good about where the overall business is and our focus continues to be to drive the strong GOV growth that you're seeing in business as well as overall EBITDA dollar production.
Tony Xu: And in regards to your second question, it's actually a similar story in terms of how we think about things, which is really how do we maximize long-term profit dollars versus looking at unit margins. And again, obviously, I'll be limited in terms of what I'll be able to say about Deliveroo. But with respect to how to think about it, our mental model, why we might be able to actually generate more profit dollars in the long run and you're really adding more scale to the same geography in this case, Europe. And we believe that if we can do that and take some of the lessons that we've learned in operating across other European countries, as well as other parts of the world and bring it into the markets where Deliveroo operates. We believe not only we can increase the scale of the business, but that if we do it in a disciplined way that we have done historically across all of DoorDash's initiatives, that we could actually improve the underlying profit potential as well, which will allow us to even have more opportunities to invest should those be good investment opportunities. But I think one of the important things to remember always about DoorDash is our capital allocation strategy has never changed. We only invest when we see something is actually working. For a start-up project or if there's something earlier stage, a lot of that starts with finding product market fit, finding great retention and frequency of use, building a product that is 10 times better than what's currently available. For later-stage initiatives, a lot of it is looking at scaling the unit economics, improving those unit economics, reinvesting it back to give customers more value and then ultimately generating and maximizing long-term profit dollars.
Youssef Squali: Great. Thank you both and good luck.
Tony Xu: Thank you.
Operator: Our next question comes from the line of Michael Morton from MoffettNathanson. Your line is open.
Michael Morton: Yes, good morning, everybody. Thanks for the question. Can we follow up, Ravi, on the net revenue margin commentary. And I would assume a lot of the affordability is coming in grocery. And I would like to know what type of behavior you're looking to drive in that? Is that to bring new grocery orders are for the new users? Or is it to increase frequency? And then, is there any like under the hood -- is there any changes in competitive intensity you're seeing in the grocery market that's maybe driving some of the affordability push? And then one for Tony, to the extent you can talk about European food delivery due to limitations with the Deliveroo. It seems like it's consolidating. Wondering over the next several years, do you see any step changes in competitive intensity in those markets and how you maybe see the concentration playing out? Thanks.
Ravi Inukonda: Hi, Mike. It's Ravi. I'll take the first one, right, on affordability and take rate. I mean, look, I mean, Mike, the goal for us has always been to reinvest back in the business, right? That's always been the number one goal as long as the investments make sense. The way we try to do it is we try to generate efficiency in every dollar of efficiency, we put that back in the business. Sometimes we invest behind consumers. Sometimes it goes towards merchants and other times, it goes towards our courier supply or Dasher supply. We invest in driving selection, quality and affordability. And depending on what opportunities we find, that changes depending on where we are in the cycle. This quarter, I mean, it was around specific affordability initiatives. I would say DashPass has been a key affordability level for us. When I look at the performance of DashPass, I mean, DashPass had a really strong quarter, all-time high in terms of number of subscribers, the number of users grow, order frequency continues to grow. You're seeing that in the growth of DashPass itself. When you look at the growth in DashPass in Q1, it accelerated compared to the prior quarter. Overall, what you're trying to do is ultimately bring efficiency back in the pockets of consumers to ultimately drive more order volume and you're doing that across both restaurants as well as grocery. I mean, to your second point around, is it driving MAUs and order frequency? I mean, I think it's a combination of both, right? For us, it's two sides of the same coin. I think we are seeing more users come back and order more with us, both across restaurants as well as grocery. And from a competitive dynamics perspective, nothing really has changed. I mean if I look at the category share gain in our grocery business. We are very pleased, right? We gained a healthy amount of share in Q1 compared to last year. We continue to gain share quarter-on-quarter. And as we wrote in the letter last time, our expectation is that we'll be order volume share leaders the course of the next year.
Tony Xu: Yes. I mean I would say similar things to both of your questions, which is that we don't really focus on the competitive intensity. I mean, take something like affordability. I mean customers are always going to want greater affordability, more selection, better service, higher quality. And that's something that we've been investing in since day one of the company. It's something we'll continue to invest in irrespective of external factors and we've continued to see gains across the board. And that's something that I kind of view with respect to the European landscape. I mean I think you know that. It's always been a competitive market, regardless of where we play, whether it's in the United States, Europe, other countries. And I think what I can say is that this at the end of the day is a scale business, and it's also a business about, at least for us, always doing better for customers and always introducing more local commerce products, because we think we're in the earliest innings still of connecting every local business to every local consumer.
Ravi Inukonda: Yeah. Mike, what I would add, really, when you think about us talking about investments to meet the underlying product better because ultimately that's what's driving the scale leading to the profit dollar production that you've seen in the business, right? Whether it's the organic portion of the business or even some of the inorganic things that you're talking about, it gives us an opportunity to invest more ultimately to drive more profit dollar production. That's the key formula that we try to use when we think about all of our lines of business.
Michael Morton: Thanks so much, guys.
Operator: Thank you. Our next question comes from the line of Andrew Boone from Citizens. Your line is open.
Andrew Boone: Thanks so much for taking the question. I wanted to go back to take rate and part with sales and marketing. Take rate step down, applying more promotions and sales and marketing also showed less leverage in 1Q. Can we just step back and talk about the efficiency in which you guys are driving demand? Was there incremental pressure there? Is there anything else you guys are seeing? And then, Tony, in the press release, you talked about DashPass evolving and adding more value. Can you just speak to your vision for DashPass, and how do you see that evolving over the next couple of years? Thanks so much.
Ravi Inukonda: Sure. I mean, Andrew, I'll take the take rate on the sales and marketing, right? Let me start with sales and marketing. I mean, I would not read too much into it, right? Q1, typically a seasonal quarter for us where you see strong volume growth. We lean into Dasher acquisition. We've done that last year. We've seen that year-over-year. This is very seasonal for us in the fact that both Q4, Q1 tend to be really good from a growth perspective, and we lean into supply to ensure that we can drive strong quality. That said, when I look at the sales and marketing line over the last couple of years, we're very pleased with the leverage that we've driven, right? When I look at the product improvements that we made, whether it's on the consumer side or the Dasher side, all of that is driving the efficiency gains. And look at the list of features that we have yet to implement. I feel pretty comfortable that there's still a lot of room for us to continue to drive leverage from an overall sales and marketing perspective. I will go back to the take rate, right? I mean, like I said, if you're trying to model it into what I would say is the second half take rate is going to be higher and what's going to drive that is, again, the business is going to grow. Volume in second half is going to be higher than the volume in the first half. Unit economics are going to continue to increase. There is seasonality in the business, which you've seen last year as well. Look, 2025 is going to be no different than '24 or '23. We've executed against '24, '23, just like we said we would, and '25 is going to be exactly the same. The focus continues to be, again, like I said, overall EBITDA dollar production. And when I look at that in Q1 or the Q2 guide that we've given, when I compare that on a year-over-year basis, we feel pretty good about that.
Tony Xu: With respect to the second question on DashPass, I mean, DashPass is the membership program or your membership program to the physical world, and that's kind of how we view it. Obviously, it starts with the highest form of consumption. But we believe that if we can maximize the number of ways in which we connect local businesses, to local consumers, there would be no other program in which you would have more -- or you'd gain more utility from. So that's really the ultimate goal for DashPass. Primarily, the focus is on making sure that we can make the product more useful. And if we can connect local businesses and local consumers in more ways, if we can improve the service offering of the products we currently have, as well as build new products in order to achieve that objective. And we believe that DashPass has the potential to be the membership program in which you would derive the most utility from.
Andrew Boone: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Gawrelski from Wells Fargo. Your line is open.
Ken Gawrelski: Thank you. Good morning. If I could come back to the questions around Deliveroo and Europe. And I know you can only speak to these at a high level. But could you just talk a little bit more about entering into some of these markets in a number two or number three position. I understand increasing the addressable market for you in Europe. But UK consumer is different than a Norwegian consumer and they don't care about the restaurant supply in Norway. So help us understand your -- the approach to these markets not being in a leadership position currently. How you're thinking about that and maybe even the investment profile of those markets relative to the growth today? And maybe, we'll just -- we'll hold it there?
Tony Xu: Sure. I can start. Look, the -- a few things to make sure that we see eye-to-eye on context. The first thing I would say is that, the most important thing to profit production or the ability to generate profit is actually scale, less so your relative positioning. And I think you actually have to get to a lower level of detail to understand this. And in terms of what we see, both in terms of our own operations, whether it's in the US, in Europe and other places, as well as what we've seen in Deliveroo. We think there's strong ability to generate great investment returns. Otherwise, we wouldn't be doing this. And -- but that takes a lower level of study and analysis, which we've done. And I can't really comment on it at this point. That's really the key. And back to the other comment I made earlier, in addition to having the foundation in which we can add scale to our investments in Europe, we also have the possibility to introduce new products to the market. We think that the combination of f both of those activities is what allows us to have the opportunity to generate great investment returns. I mean we've done this with Wolt in which we partnered three years ago at this point and have seen that, and we believe a similar story can play out here.
Ken Gawrelski: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Doug Anmuth from JPMorgan. Your line is open.
Doug Anmuth: Thanks for taking the question. Really good progress in grocery, and you talked about quarter of users purchasing across restaurants and grocery. What do you think is required to exceed the in-store experience going forward? What kinds of innovations and improvements? Thanks.
Tony Xu: I appreciate it, Doug. Look, I mean, the team has done a remarkable job getting us to this point. And I think our numbers kind of speak for themselves in terms of the performance. But you're right in saying that there's still a long ways to go before we can actually build a product that is 10 times better than the current leading product, which is shopping inside of a grocery store yourself. There's a lot of things that have to be done. And I mean, it's not necessarily one dimension in which we get judged, but making sure that we can get you exactly what you ordered, making sure that those products are affordable, making sure that the products are delivered with high accuracy and quality of service. And then obviously making sure that the customer support experience is excellent, especially if something goes wrong. I mean there are investments in all of those areas required in order to have a chance at being able to match the physical shopping experience. That said, I actually believe and these were hypotheses four or five years ago, but we're starting to see evidence that there are opportunities in which the online experience can actually beat the off-line shopping experience. I give you one example. I mean you see this, for instance, with our DoubleDash product, where it's hard, right? When you're -- even when you're shopping off-line, even when you're in the store, even when you're in the intent of thinking about all your shopping needs that you may forget things. And as a result, when you have products like DoubleDash where you can shop from multiple stores on the same go, that's a pretty cool experience where it makes it even easier to be able to shop the entire catalog from the city. Now we've got a lot of work to do to be able to actually allow you to shop from every single catalog in the city. We're working on that. But I do think that at some point, there is the potential in which the online shopping experience can even exceed the off-line shopping experience. But we're still in the work of just getting the basics right. We feel like the biggest form of competition is always the customer expectation. We certainly have done a lot better than when we got started four, five years ago, but we got a long ways to go.
Ravi Inukonda: Doug, I'll just add a couple of points, like you talked about the fact that over a quarter of our users, that number continues to grow. And if you think about it, right, we have a strategic advantage because we have tens of millions of consumers that are active on the platform. for us when we expose consumers to grocery, whether it's are DoubleDash or other product interfaces, that number continues to grow, which is ultimately driving the retention as well as the growth that you're seeing in the business.
Doug Anmuth: Thank you both.
Operator: Thank you. Our next question comes from the line of Mark Mahaney from Evercore. Your line is open.
Mark Mahaney: Okay. Thanks. Let me ask a question on cash levels and then on the SevenRooms acquisition. Can you just talk about what you think is kind of a minimum level of cash you want to run the business with going forward. You're obviously putting out, I don't know, $4 billion or something in cash for these two acquisitions, given where you are now. So just talk about your -- what is the right comfort levels in terms of the cash balance that you need or want to carry? And then on the SevenRooms acquisition, it's not a huge pivot, but it is pivot or it's an expansion of your offerings. So just talk about how much more I think it's Marketing as a Service. I think you mentioned in there. You could do that with a lot of customers beyond just restaurants. So how far do you think you can extend SevenRooms or that idea to the rest of your customer base? I guess how much of a push do you want to make behind offering Marketing as a Service? Thanks.
Ravi Inukonda: Sure. Mark, I'll take the first one on cash. I mean the way we think about minimum cash is roughly from a working capital perspective, roughly about $1 billion. So anything on top of that, our goal has been to invest back in the business to ultimately try to generate long-term free cash flow per share. And what you see in the business is the business is free cash flow generative. So our view on capital allocation in general, has not changed. If there's good opportunities for us to invest to ultimately drive long-term production of more profit dollars, we are happy to do that. But the key for us is it has to meet sort of our IRR thresholds.
Tony Xu: And Mark, on the second question, I mean, you're absolutely right. I think one of the hardest things about running DoorDash is that, there there's so much to do when you want to connect every local business to every local consumer. There's a depth component to that answer or objective. There's also a breadth component to that. And I mean, take for example, just restaurant delivery, which is probably our longest chapter almost 12 years long at this point. Even after generating what we have produced in a market, take for example, the United States, we're still single-digit percentages of the restaurant industry when it comes to sales. We're proud of the results. But at the same time, I think even something as old for us is restaurant delivery still has a long runway ahead of it. When it comes to our DoorDash commerce platform, I think we're even earlier in that journey where most of it has been focused on restaurants, whether it's DoorDash drive or storefront. When you add SevenRooms into the mix, it's still focused on restaurants. You're right to say that there could be opportunities to also expand a different dimension, a breadth component, if you will, but building a business I found a lot of it is about sequencing, making sure that we have the right amount of focus, but also increasing our ability to walk and chew gum at the same time. So that's what we're doing. But I mean, again, everything that we're announcing today, to me really is business as usual and only something that we're investing in because we're seeing success in the five business lines that we have.
Mark Mahaney: Thank you.
Operator: Thank you. Our next question comes from of the line of Brian Nowak from Morgan Stanley. Your line is open.
Brian Nowak: Thanks for taking my questions. I have two. One big picture and one excel question. So the big picture on kind of goes back to your last answer about sequencing and sort of prioritization. With Deliveroo, you're attempting to buy a business where 75% of the GMV is essentially a market laggard arguably. Can you give us some examples of what you've learned with Wolt or other European countries as sort of give you excitement or where you see opportunities for Deliveroo to execute better than it is right now than it has historically? And then the second one on the Excel question. CapEx was up quite a bit in the quarter. What's driving the increase in CapEx? And how should we think about CapEx for the rest of the year? Thanks.
Tony Xu: Yes. I mean I guess I'd say a couple of things, Brian. First, I think it's important to understand where profit pools are and also where market shares move because sometimes it's easy to look at a country at the aggregate level and not understand that. And what I would say is that Deliveroo has done an amazing job building leading positions and the strongest profitable places within Western Europe, which may suggest that they've concentrated their efforts in a different way than other players and allow them to set up in a way in which if they had extra firepower, they can actually take a leading position. The other thing we've learned, and this comes more to our relationship with Wolt is that, you're absolutely right that we can exchange lessons learned. I mean we've brought along a lot of the products that we built at DoorDash over to Wolt and we've seen quite a lot of improvement from that exchange of learnings and also the other way as well, by the way. So I think only until we had a proof point internally where we saw that we can actually both improve, I think, the offering in the market so that we can make the biggest difference to the audiences in that market, as well as knowing how to do it from a management bandwidth perspective, did we get comfortable to actually increase our investment levels internationally.
Ravi Inukonda: Brian, I'll take the CapEx one, right. Like first, there's two points. One is we've done a refresh of tablets for some of our merchants because we're trying to improve the hardware experience, the software experience. But ultimately, we think that drives merchant satisfaction. So we're seeing an impact of that. We talked about the fact that we are making investments from an autonomous perspective, you're starting to see some impact of that as well. And to your point around what the rest of the year looks like, you should think of it in terms of the overall G&A guidance that we've given. Similar level, sort of what you would expect in Q2 for the rest of the year.
Brian Nowak: Thank you, both.
Operator: Thank you. Our next question comes from the line of Ron Josey from Citi. Your line is open.
Ron Josey: Hi, thanks for taking the question. Maybe just another question on DashPass. I know you've gotten a few, but in the letter, you talked about extending the value prop of DashPass in 1Q and more things to come. So, I just wanted to maybe get more insights on how the value prop continues to grow and how that's driving just accelerating growth on DashPass. And then just more tactically speaking, I think we saw in New York recently, the City Council raised delivery cap fees and wondering I know we've talked about New York and the impact quite a bit since the pandemic, but we love your thoughts on that, particularly with the SevenRooms acquisition. Thank you.
Tony Xu: With respect to DashPass, the main focus continues to be the same, which is to keep improving the product such that people want to use DoorDash more. And it sounds really basic, but it's actually -- I think the -- it's been the NorthStar from day one and it continues to be. We want people to keep using it and increase the consumer surplus, if you will, that consumers or that subscribers see from using the service more often. With respect to the second issue in New York, I think that's something that we're always in discussions with cities about. Our take has always been that a lot of the policies, especially in cities like New York, not only sometimes are questionable from a legal perspective, but they almost always do the opposite of what they're intended to do which is they actually harm the number of opportunities for Dashers. They lower the sales for small, medium and large businesses within that city, and they exclude consumers because of higher prices that usually gets passed on as a result of these fees. So we're working with the city to see if we can enact some common sense policies. Sometimes we get very productive outcomes. Other times, we face headwinds. But over the long run, we're really optimistic in finding common sense ways to work with common sense elected officials.
Ron Josey: Thank you.
Operator: Thank you. Our next question comes from line of Mark Zgutowicz from The Benchmark Company. Your line is open.
Mark Zgutowicz: Thank you. I was just hoping we could take a step back and if you could maybe discuss how your affordability initiatives are being directed to restaurant versus grocery and domestic versus international? And how your promo activity in 1Q compared to last quarter and year-over-year? Thanks.
Tony Xu: I mean our affordability work is through everywhere in every category. I mean and that's because customers are always seeking more and more affordable options. So it doesn't mean that's the only thing we get judged on our work on. We always work on the same four things, how we improve selection, how do we increase affordability and how do we set a higher bar for the quality of service and how do we do better in terms of customer service, especially if we get it wrong. But our affordability initiatives really tackle every geography, every category because what we're doing is we're just trying to continuously build more and more value into our products and increase the scale of what we can do and reinvest back into customers.
Mark Zgutowicz: We can go to the next question.
Operator: Thank you. Our question comes from the line of John Colantuoni from Jefferies. Your line is open.
John Colantuoni: Thanks for taking my question. Just wanted to ask about average order value. You picked up nicely in the quarter. Maybe talk about the drivers of that improvement from U.S. restaurants, international restaurant and grocery and convenience and specifically curious how basket sizes have shifted across those three businesses in the quarter. And second, just a quick one on AOV guidance. Can you just give us a little sense for how much FX is contributing to your outlook there? Thanks.
Ravi Inukonda: Sure. John, I'll take the AOV one first and then talk about the FX one. Look, when I look at the overall average order value at the total company level, there's definitely some impact from a mix shift perspective. Grocery is becoming a larger component of the overall business and you are starting to see that impact the overall company from an AOV perspective. Restaurants AOV in general has been relatively stable over the course of the last several quarters. When I think about grocery specifically, the basket size continues to increase. That's largely being driven by consumers getting more habituated on the platform. And as they get more habituated to the earlier answer that I gave, they are starting to use us for all used cases, not just the top up, but also the stock-up use case. We're starting to see increasing number of cohorts increase their spend with us over time. They're increasing both perishable as well as nonperishable. We're also seeing the impact from an overall commerce platform, which is driving volume and revenue, but it does not contribute to GOV. So that also impacts AOV, if you're thinking about it from a modeling perspective. FX, when I think about the impact on GOV in Q1, roughly -- there was roughly about a 1% impact on a year-over-year growth basis. For the second quarter, we do think there's going to be some impact, but that's embedded in the guidance for both GOV as well as EBITDA that we've given.
John Colantuoni: Okay. Great. Thank you.
Operator: Thank you. Next question comes from the line of Michael McGovern from Bank of America. Your line is open.
Michael McGovern: Hi guys. Thanks for taking my question. I have two. You mentioned autonomy in terms of your uptick in CapEx this quarter. And I think you had some interesting announcements in the quarter about your first delivery robots in L.A. and also drone testing. Can you just provide an update on your efforts there in autonomy and how you view the long-term opportunity? And then secondly, a question on regulatory. Recently, there is a bill proposed in the Senate about independent workers getting access to portable benefits at the federal level. I think you provided portable benefits in some states. Has that driven a big impact in those states and just how do you view the possibility of that expanding more broadly?
Tony Xu: Yes, I'll start -- I can take both. I'll start with the autonomy question. We're very excited about the autonomy initiatives and also just I think the promise of what it could bring up, something that we've been thinking about -- been working on for about 8 years now. The key challenge with autonomous delivery that might be a little bit different from other autonomous efforts out there like autonomous taxis and things like this is that, you really have to solve that first and last 10 feet problem of putting in items and taking out items from a vehicle. Obviously, that marriage of the operations and the technology to me is really what's going to be key in unlocking the possibility of autonomous delivery in a way that is highly scalable that increases or improves the value proposition of the product experience today and built us towards the future. The second thing that I would say about autonomous delivery is that, it probably sounds obvious, but you don't need a 4,000-pound vehicle to deliver a one or two pound item or package. And so the form factors are also very different and they really have to match the use cases in which you're considering it. So there's lots of things that we're doing. We'll have more to share later, but we're super excited about both the progress as well as, I think, the partnership ecosystem that is developing as well as we bring more of this into reality. Your second question on regulatory, which is around portable benefits is definitely something that we're really, really excited about. You're right. We actually started this effort and we started the effort in Pennsylvania with support from Governor Shapiro and we're talking with other states right now of taking the initiative that we brought forth in Pennsylvania into those states. And we've always believed that, I mean this is really coming directly from the dashers themselves that they want the flexibility of the work that we provide, but they also want to have access to benefits which we believe in. And so that's really what you see with respect to the portable benefits initiatives. We're excited that we have leading states who are kind of the tip of the spear, if you will, really innovating in this area. We see momentum and excitement now possibly at the federal level. And so these are all things, I think, moving in the right direction. And we really hope that that we don't just innovate on products and build more value for customers, but we also can innovate, although it may take a little bit longer as we work collectively with all the stakeholders involved to make productive changes to the legal system, too, such that we can set up a world where people can choose to work freely anytime they want, anywhere they want and also have access to benefits.
Michael McGovern: Thank you.
Operator: Thank you. Next question comes from the line of Jim Sanderson from Northcoast Research. Your line is open.
Jim Sanderson: Thanks for the question. You mentioned earlier in the call that the first quarter for DoorDash is a very strong growth quarter. So I'm wondering in this context, are there any sectors, geographies or demographic groups within the DoorDash U.S. restaurant business that grew ahead of your expectations or lagged significantly below your expectations?
Ravi Inukonda: Sure, Jim. I'll take this one. I mean, look, the first quarter was a good quarter from an overall restaurant growth perspective because. I assume you're talking about only the restaurant business. But even when I take a step back and look at the performance of the business, right, over the last 5 or 6 quarters, I mean, the growth has been pretty stable. I think what you're seeing in business is users continue to grow our frequency continues to grow. The retention has been very stable. When I look at the newer cohorts versus the existing older cohorts, all of the cohorts continue to perform extremely well. Look, I mean we get over 8 million signals on a daily basis, and we have a team of analysts that look at the underlying performance. And when we look at the outlying cohort health, I mean, it looks pretty healthy, whether it's low income or high income or the new versus the existing cohorts. Again, a lot of that is being driven by the underlying improvements that we're making in the product. And if you if you think about really, even peel back and look at the performance of the business over last several years, I mean the business has continued to be very resilient. We've operated the business in a variety of demand cycles. So we are pretty comfortable operating the business in different kinds of environments and the overall restaurant business, both from a growth, profitability continues to be very healthy and very strong.
Operator: Thank you. That concludes our question-and-answer session. That also concludes this call. Thank you all for joining. You may now disconnect.